Operator: Good day, and welcome everyone to the Vicor Earnings Results for the Fourth Quarter and Year Ended December 31, 2019, hosted by Dr. Patrizio Vinciarelli, CEO of Vicor; and James Simms, CFO of Vicor.My name is Tommy, and I'm your event manager. [Operator Instructions] I would like to advise all parties this conference is being recorded for replay purposes.And now I'd like to hand over to James Simms. Please go ahead, sir.
James Simms: Thank you, Tommy. Good afternoon, everyone, and welcome to Vicor Corporation's earnings call for the fourth quarter and the full year ended 12/31. I'm Jamie Simms, CFO; and with me here in Andover are Patrizio Vinciarelli, CEO; and Phil Davies, Worldwide Head of Global Sales and Marketing.After the markets closed today, we issued a press release summarizing our financial results for the 3 months and 12 months ended December 31. This press release has been posted on the Investor Relations page of our website, www.vicorpower.com. We also filed a Form 8-K today related to the issuance of this press release. I remind listeners this conference call is being recorded and is the copyrighted property of Vicor Corporation.I also remind you various remarks we make during this call may constitute forward-looking statements for purposes of the safe harbor provisions under the Private Securities Litigation Reform Act of 1995. Except for historical information contained in this call, the matters discussed on this call, including any statements regarding current and planned products, current and potential customers, potential market opportunities, expected events and announcements, planned capacity expansion as well as management's expectations for sales growth, spending and profitability are all forward-looking statements involving risks and uncertainties. In light of these risks and uncertainties, we can offer no assurance that any forward-looking statement will, in fact, prove to be correct. Actual results may differ materially from those explicitly set forth or -- in or implied by any of our remarks today. The risks and uncertainties we face are discussed in Item 1A of our 2018 Form 10-K, which we filed with the SEC on February 28, 2019. We expect to file our 2019 Form 10-K this week, ahead of the SEC's March 2 deadline, and a refresh discussion of these risks and uncertainties that we face will be presented therein. Please note the information provided during this conference call is accurate only as of today, Tuesday, February 25, 2020. Vicor undertakes no obligation to update any statements, including forward-looking statements made during this call and you should not rely upon such statements after the conclusion of the call.A replay of today's call will be available beginning at midnight tonight through March 11, 2020. The replay dial-in number is 888-286-8010 followed by the passcode 90154129. This dial-in and passcode are also set forth in today's press release. In addition, a webcast replay of today's call along with the transcript will be available shortly on the Investor Relations page of our website.I will start this afternoon's discussion with a review of our financial performance. Phil will address current market circumstances and our outlook. And after closing remarks by Patrizio, we will take your questions.So beginning with consolidated results. As stated in today's press release, Vicor reported total revenue for the fourth quarter of $63.1 million down sequentially 10.8% from the third quarter figure of $70.8 million and down 14.4% from the fourth quarter 2018 figure of $73.7 million. Revenue for 2019 totaled $263 million, a decline of 9.7% from the $291 million recorded for 2018. 2019's year-over-year revenue decline primarily reflected, for Advanced Products, reduced shipments into data center applications; and for Brick Products, the influence on demand from Chinese customers of import tariffs placed on our products. In aggregate, our annual shipments to China and Hong Kong declined from approximately 38% of our total revenue in 2018 to 22% of total revenue for 2019.Japanese revenue, the sum of distribution and VJCL sales declined 29% year-over-year, reflecting the significant economic weakening of the second half of 2019. To address the Japanese market during the year, we repositioned our majority-owned subsidiary, VJCL, to focus on custom and configurable products for the Japanese market. We also established a support office in Tokyo with new hires focusing on promising opportunities in automotive and supercomputing. All sales of Brick Products and Advanced Products in Japan are now through new distribution partners, which are well positioned to broaden our penetration of the world's third largest economy.North American revenue expanded 9.3% year-over-year with sales through industrial distribution rising, complemented by increased defense electronics volumes consisting of higher shipments of both Brick and Advanced Products. European revenue rose 3% for the year, reflecting improved conditions in certain industrial segments on the continent offset by ongoing weakness in U.K. demand.For the fourth quarter, the same conditions influencing our full year performance were at play. Conditions in China continue to have the most significant influence on our performance. Our exports to China and Hong Kong declined approximately 20% sequentially for the fourth quarter as the 2019 expansion of trade restrictions by the U.S. government, including the prohibition of sales to certain Chinese customers in supercomputing, data center and aerospace, reduced both bookings and shipments for the quarter. Revenue through Hong Kong distribution declined sequentially approximately 10% due to further slowing of the Chinese economy and reduced demand across industrial segments owing to the 20% tariffs applied to our products by the Chinese government.As was the case for the full year, for the fourth quarter, Brick Product revenue increased slightly as higher domestic distribution, higher domestic defense electronic shipments and an unexpected level of domestic turns volume offset declines in Brick Product shipments to China. However, Advanced Products revenue declined by 33% sequentially driven by 3 events. Our forecast for Q4 2019 had included shipments to an important hyperscale customer. This customer subsequently rescheduled deliveries, which are now set to ramp in April. We also experienced customer rescheduling of the start of a program in commercial satellites. Production is now scheduled for that program for mid-year. The final contributor to lower Advanced Products revenue was the delayed shipment of certain preproduction volumes brought about by supply chain bottleneck. We believe we have successfully addressed this bottleneck ahead of upcoming production ramps. For the fourth quarter, the brick to advanced revenue split was 74% to 26% in contrast to the split of 66-34 for the third quarter.International revenue declined 24% sequentially, essentially giving back the 28% increase recorded for the third quarter with the decline largely tied to the Q3 relaunch of a hyperscaler server program and the aforementioned Q4 rescheduling of deliveries for that program. As a percentage of total revenue for the fourth quarter, international declined to 50% from the prior quarter's 58%. For the full year, international revenue represented 54% of total revenue in contrast to 62% for 2018.Consolidated gross margin as a percentage of revenue for the full year was 46.8%, down slightly from the prior year's 47.7%. For the fourth quarter, gross margin was 47.1% and increased sequentially from 46.6%. Through the year and the fourth quarter, our operational metrics have improved. However, we recorded charges of over $1 million in Q4 associated with the aforementioned supply chain bottleneck. High inbound tariffs continue to impact gross margin as we incurred $1.3 million of tariffs for Q4. U.S. customs is backed up with high volumes of applicants for the duty drawback program, so we have yet to recover any amounts of tariffs paid to date. The total amount of Section 301 tariff paid since implementation exceeds $5.6 million, and we anticipate more than half of this amount will be eligible for drawback. We continue to evaluate suppliers that would not subject us to Section 301 import tariffs. Certain vendors are nearing completion of their efforts to move production out of China, and we hope to see lower imports subject to tariffs through the year.I'll now turn to operating expenses. For the year, total OpEx rose 2.5%, exclusive of the $402,000 severance charges we recorded in 2018, with the majority of the increase occurring in the fourth quarter, reflecting for the year spending discipline and the head-count-related nature of our spend. For 2019, our full-time head count increased by 17 or 1.7% to 993 with 14 of these new hires occurring in the fourth quarter of the year. For the fourth quarter, OpEx increased 7.1% sequentially largely due to an increase in project-specific prototyping charges. Full year and fourth quarter operating income reflected lower revenue. Full year operating margin declined from -- to 5.3% from the prior year's 11.1% while Q4 operating margin fell sequentially to 1.4% from 8.6%.Turning to income taxes. We recorded a small net benefit for Q4 to bring our full year effective tax rate to 5.2%. Net income attributable to Vicor totaled $14.1 million for 2019, a decline of 56% for the year. The Q4 figure was $1.3 million, representing a sequential decline of 78%. Fully diluted GAAP EPS for the fourth quarter was $0.03 on a diluted share count of 42,404,000 shares. This is in contrast to Q3 net income of $5.9 million, which represented fully diluted GAAP EPS of $0.14.Turning to our balance sheet. Cash and cash equivalents sequentially rose to $84.7 million. Accounts receivable net of reserves totaled $38.1 million at year-end down sequentially 4.7% with DSOs for trade receivables steady at 45 days. All balances are current. Inventories net of reserves decreased 1% sequentially to $49.2 million with another sequential decline in finished goods. Annualized turns remained at 3. Capital expenditures for Q4 totaled $3.4 million, an increase of 3% sequentially.Now turning to our planned expansion. We closed on the acquisition of land adjacent to our Andover plant in December. Mother Nature is now our primary gating variable and we plan to begin construction in April and complete an expansion of our Federal Street factory by 90,000 square feet, going from 250,000 to 340,000 square feet by year-end. As stated before, we anticipate internally funding both the construction and the multiple phases of planned equipment installation.I'll now address backlog and bookings. At year-end, 1-year backlog was over $104 million, an increase of almost 16% sequentially, reflecting a 27% sequential increase in bookings for the quarter. New Advanced Products orders essentially doubled for the quarter, while Brick Product orders were flat. New Advanced Product orders reflected activity in the data center space and a notable increase in orders for commercial lighting applications. Brick Products orders reflected the circumstances seen in our revenue. China and Hong Kong continued their decline while domestic activity was steady.Turning to our outlook for the first quarter of 2020. Subject to the impact of the coronavirus outbreak, we anticipate limited progress in revenues for Q1 ahead of anticipated increases starting in Q2 as shipments for AI accelerators and data center servers start to ramp.With that, I'll turn the call over to Phil, who will provide insights into market conditions and our positioning in those markets.
Phil Davies: Well, thank you, Jamie, and good afternoon to everyone. As Jamie just discussed, 2019 was a challenging year for us particularly in our China market with the tariff situation and potentially important customers there who ended up on the commerce department's denied parties list. We also faced an over-inventory situation and pushouts with our data center customers plus reduced spending in the semiconductor test equipment market. We did however see growth in North America and Europe with both our Brick Products and Advanced Products, and our global distributors grew at a combined 22% year-on-year. So we remain enthusiastic about our 2020 prospects in AI acceleration, supercomputing and data center servers given design wins and expanding product offering, including Power-on-Package solutions and an ever-broadening customer list.Customer interest in factorized power solutions for the 48-volt variant of the Open Accelerator Module or as it's commonly called the OAM, a design put forth by the Open Compute standards group, is high. We are working with GPU and ASIC developers on OAM solutions. If listeners are attending the Open Compute Summit in California in early March, you'll see companies there demonstrating new 48-volt-based OAM accelerator mezzanine cards. There are 2 power levels for these cards, and the lower power versions use our 48-volt to 12-volt and 12- to 48-volt modules. The 12- to 48-volt modules enable these AI cards to be backwards-compatible with data center customers who are still using 12-volt power delivery networks. The higher-power cards use our LPD, or lateral power delivery, 48-volt to load factorized power solutions.Looking forward, demand for much higher AI processor performance requires much higher current, which is bringing new customers both very large and small, such as new start-ups to our VPD, or vertical power delivery, as the enabling solution to their current density needs. Some of these start-ups have already been acquired by larger companies, which is good for us. They all add up as design wins in the data center and AI processor market for next-generation devices that require greater than 600 amps. These projects are expected to ramp in late 2020 through to 2022.In the last quarter, we also engaged with cloud networking companies and network processor suppliers who are facing the same power delivery challenges as the cloud computing and AI processor companies. We are starting to see current requirements in these applications approach 1,000 amps and we are engaged on VPD, vertical power delivery, solutions for this new cloud networking market, which will provide significant new opportunities while leveraging capabilities already in place for the AI market. More to come on this in future updates.We continue making progress with design wins for Advanced Products in other growth markets, as evidenced by the high-power video display project mentioned by Jamie, which we were awarded in Q4. Our unmatched efficiency and density are ideal for such large-scale implementations. The Q4 award is for a 20-megawatt installation that will be one of the world's largest LED displays. We will see additional projects similar to this on the horizon.Back in June of 2019, I had an opportunity to update some of you at our Annual Shareholders' Meeting, where I discussed a few of these large growth markets notably automotive, and I'd like to take the opportunity to give you a further update on our progress in automotive, which continues to be very positive. The good news is that the move to 48-volt as the main power delivery network within automotive continues to gain significant momentum. I am pleased to report that we have signed agreements with European and Japanese OEMs for new Advanced Products that enable power system solutions with unprecedented power conversion density and modular system flexibility for hybrid and full electric vehicles. As is the case in artificial intelligence and supercomputing, automotive designers are turning to Vicor for unmatched performance that in turn differentiates the performance of their end products. The progress we have made in just over a year has been remarkable, and the momentum is building with 2 agreements signed in the fourth quarter and more coming this quarter. At our next Annual Shareholders' Meeting in June, Patrick Wadden, our VP of Worldwide Automotive Business Development, will be presenting our progress in far more detail.With that, I hand the reins over to Patrizio to make a few closing statements.
Dr. Patrizio Vinciarelli: I am limiting my remarks today given a bad cold and cough that may make it even harder to comprehend my voice. I want to repeat the statement from last quarter.Vicor is executing well in the face of challenging conditions and near-term uncertainties, and we're confident the company is well positioned for long-term growth in very promising markets. We're engaged with parties interested in partnering with us for either technology or market access with the goal of accelerating expansion of vertical markets with alternate sources. Phil has spoken to a substantial head start to enjoy in AI acceleration and automotive electronics, which are both expected to follow sustained secular growth trends. And Jamie mentioned our forthcoming capacity expansion, evidence of confidence in the future.As discussed, booking patterns continue to reflect U.S.-China trade and tariff dynamics, country-specific micro uncertainty, segment-specific demand visibility challenges and, more recently, the coronavirus uncertainty. Bookings growth in Q4 was expected to set the stage for an upward trend in Q1 with sequentially higher bookings and revenues. However, program uncertainties are causing Q1 revenues to be less than earlier forecasted. We have a sizable pipeline of customer programs in AI acceleration, supercomputing and data center servers. With the sudden supply chain uncertainty brought about by the coronavirus, some large, near-term Advanced Products orders may be delayed until a clear sense of the extent and length of the outbreak is developed.We'll now take your questions. Operator?
Operator: [Operator Instructions] The first question is coming from the line of Quinn Bolton.
Quinn Bolton: Congratulations on a nice order in the fourth quarter. Obviously, some near-term uncertainty around a number of moving factors, but I was hoping you could just clarify your comments again about the orders that pushed out. Did you say that it was an HPC customer or a hyperscale server customer that pushed, I guess, from Q4 to the month of April?
Phil Davies: We saw pushouts from a couple of our data center and HPC customers actually. It was a couple of very large companies that we've been dealing with for a couple of years now.
Quinn Bolton: Got it. And then I guess the second question, Jamie, you sort of said in your script that you did not expect revenue in the first quarter to advance or some similar term. Wondering if that's effectively sort of you're looking for revenue to be roughly flat. Or do you think it actually takes a step down with coronavirus and continued weakness out of the China, Hong Kong part of the business?
Dr. Patrizio Vinciarelli: I would expect it to be slightly up but not substantially up contrary to earlier expectations. And going back to the question that Phil answered regarding the scheduling. So we are on the verge of -- with large customers in the server space, it's a ramp starting in April. And at this point, that's locked in forever. We're also on the verge of what's expected to be a major ramp for a new duty or obligation. That's also due to start ramping in the next couple of months. So what they've seen -- I'm sorry.
Quinn Bolton: No. No. Please continue, Patrizio. I'm sorry.
Dr. Patrizio Vinciarelli: So while there's been some rescheduling with those customers at this point, we have line of sight to ramps that are imminent. Now we should all be cautious though with respect to the potential impact of coronavirus, right? Because it has a disruptive effect on supply chain. And so we need to sit tight over the next several weeks to see what actually ends up happening. It's good news over the weekend that the Chinese government instructed Chinese companies to get back into business. That will help relieve some of the supply chain constraints we think. But until the dust settles, there's still uncertainty in the near term.
Quinn Bolton: Great. And just last question from me. It sounds like the Q2 ramp and beyond is driven from multiple customers, hyperscale servers, new GPU, the HPC business coming back. Do you now have firm orders on the books for delivery beginning Q2 for those programs? Or are you still waiting for some of those orders at this point?
PhilDavies: No. We have orders on the books for a lot of the new programs for this coming year, and we're in good shape.
Dr. Patrizio Vinciarelli: Yes. We did take more planning. So what's in the books covers the near term, including in particular the ramp in the server, the application starting in April.
Operator: The next question is coming from the line of Jon Tanwanteng.
Unidentified Analyst: This is [Brenden] on for Jon. I just wanted to ask real quick. I know a lot of customers have moved their supply lines out of China due to tariffs. That's caused you to have a little rain delay. And wondering if you've been able to pursue some more strategies in your production at all. And do you see more of that kind of impact looking ahead?
Dr. Patrizio Vinciarelli: Yes. So we've been pursuing the job strategy of limiting our exposure to Chinese supply because of the ongoing tariffs and other considerations. Unfortunately, these initiatives take time. We're looking forward with some of the key suppliers having established an alternate source outside of China in the first half of this year. So the dependency has been lessened, but it's still significant.
Operator: The next question is coming from the line of Rich Shannon.
RichShannon: Well, let's see. Maybe a quick question on the brick business here. If I'm to read the tea leaves right here, is it fair to say that your brick business is getting reasonably good bookings outside of China, but the ones for China are the ones that are seeing some issues?
PhilDavies: Yes, that's correct.
RichShannon: Okay. As we look at China going forward and if I caught the numbers right from Jamie, you had 20% of your sales for 2019. I didn't catch the number exiting the year but -- and kind of a worst-case scenario when the tariffs and the supply chain issues that you've talked about already continue to be enforced and you can't solve the supply chain problem. Do you see a big risk to a lot or most of that China-based business disappearing over time? Or do you feel like you can still sustain some of that?
Dr. Patrizio Vinciarelli: So I think it's a complex question to answer. There's a lot of imponderables. But in general, bricks are proven to have a high degree of resiliency to a variety of factors, the passage of time and the recent set of issues. That said, we obviously took a hit with respect to brick business in China last year. Phil, what do you see happening going forward with the brick business in China?
PhilDavies: So I think that from the tariff point of view, the business has sort of flattened out in terms of the -- actually, the overall brick market in China is actually growing as a total market opportunity. It's just that there are local supply now for Chinese-made brick products, but the overall market is growing and our position in that market is still very strong with a very high brand of high quality, high reliability, ruggedness. So I still see a good brick business for us going forward for a number of years in the Chinese market.
Dr. Patrizio Vinciarelli: Yes. So to be clear, the copycat bricks from Chinese makers don't work all that well when going up against our 30 or 40 years old bricks. And we are cannibalizing our own bricks with advanced products that perform the brick function in a fraction of the space and with significant performance advantages. So particularly, when we take into consideration the long-term competitive advantage of the advanced product version of an old-fashioned brick, demand in that market is subject to avoidance of [indiscernible] interference should stay strong.
RichShannon: Okay. That's helpful. A couple more questions from me and I'll jump out of line. First of all, last quarter, you got a sense of increasing breadth of your orders particularly -- and I'm particularly interested in the Advanced Products. Maybe if you could provide some context to how that finished the fourth quarter. How are you seeing the first quarter? Maybe give us a sense of what you expect in the breadth of this order and sales book exiting this year.
PhilDavies: So exiting the year, we had some very nice orders from some new applications actually. We mentioned the video, the very large video wall display that we're involved with, the 20-megawatt level. That was for a new front-end, 3-phase, AC-to-DC product to AC to 48-volt. And it's our first entry, if you like, into a new AC-to-DC market that is actually 4x bigger than the DC-to-DC converter market. And it's a market that we have big plans for as we introduce new products through this year. So that order came in, in the fourth quarter. We've been working on it for a while. And then we started to see preliminary orders coming in for the launch of these new data center, HPC and GPU customers, early ramps, if you like, in preproduction phases, getting systems in place for their early customers. So that came on in the fourth quarter as well.
RichShannon: Okay. Perfect. One last question from me. I think in your prepared remarks here, Phil, I think it was -- you were discussing the OAM modules. A, just want to confirm that that's really a market at least today that are really serving by your NBMs. And b, how many of the announced partners for OAMs both on the inference and training side are you working with?
PhilDavies: Well, to answer the last question, we're working with a lot of them. When it comes to 48 volts, I mean the NBM is the densest, highest efficiency product on the market. It's very easy to use, drop-down solution, and pretty much all of the OAM guys going 48 to 12 are using it. And then for the 12-volt infrastructure market where they have to go 12 to 48, they're using NBMs there as well. So we've got really great penetration with that product. And also, there's a regulated version of that product that's getting great traction out there as well right now. So we have high hopes for the 48 to 12 market actually.
Dr. Patrizio Vinciarelli: So the regulated version is called the DCM, and customers can choose between fixed ratio and regulated alternatives with somewhat different trade-offs. And in both, we have, by far, a superior solution.
Operator: The next question is coming from the line of [Jon Dylan].
Unidentified Analyst: I just wanted to say it was really a nice thing gross margins go up this quarter even though your revenue went down. So that was nice to see. But my questions are more on -- first of all, Patrizio, I just want to make sure I understood. The bookings for next quarter, you expect to be up sequentially. Is that what I heard?
Dr. Patrizio Vinciarelli: No, I didn't say that. So we see this quarter bookings being above the revenue level with greater than 1 book-to-bill, but we don't expect it to be this quarter at the level of Q4.
Unidentified Analyst: Okay. Okay. So I misunderstood. All right. And let's talk about the backlog for a second. It seems like you have a great backlog, over $100 million in backlog. And I'm wondering is that all scheduled to ship within the year.
Dr. Patrizio Vinciarelli: Yes.
Unidentified Analyst: And is there any orders in-house that are scheduled for more than a year out that are not included in the backlog numbers?
Dr. Patrizio Vinciarelli: There are some, but they are the minimum. So they're not all that significant because generally speaking, customers don't book that far out.
Unidentified Analyst: Okay. I wasn't sure if some customers -- kind of the customers who keep coming back, you would put in some long, multiyear orders to get better pricing or something. I didn't know if that was possible or not.So for Phil, you talked about some of the ramps that you're seeing. We've seen one hyper data center, Google, who's been taking product from you for quite a while now. And I imagine your strategy is to use some of the AI chips to get your foot into the door of the other data centers, the big data centers. But I'm just wondering can you give us a little bit more color on that. And also, is there any visibility as to when another hyper scale data center will adopt 48 volts on a grand scale across the whole data center?
Phil Davies: Okay. So a lot of questions. Okay. So...
Dr. Patrizio Vinciarelli: So we'll leave the specific names of customers out of this, right?
Phil Davies: Yes.
Dr. Patrizio Vinciarelli: So talking generally.
Phil Davies: So it's safe to say we're working with pretty much all of the data center companies here in the United States across a variety of different applications. So some have talked about -- which is the 48-volt to 12-volt and 12- to 48-volt sort of applications. So we're working with pretty much all of them on that. With regards to factorized power applications, we're working with again quite a few of them on their own internal ASIC development. And those are new engagements that we -- came on board in Q4 and further ones that we are in the initial stages on, which will come on in Q1, Q2 of this year.
Dr. Patrizio Vinciarelli: So one of them, they expect over a year in terms of development.
Phil Davies: Yes.
Dr. Patrizio Vinciarelli: But there have been more recent additions.
Phil Davies: That's right. Yes. Yes. So in terms of deployment of large-scale, 48-volt racks, that is starting. And the Open Compute forum, you'll see a lot more 48-volt at that show this year than you did last year, although last year was very encouraging. So you'll start to see, I think, 48 volts in the rack in terms of the power delivery networks at the big other hyperscalers like Facebook, Amazon, Microsoft and companies like that. I would think at the 2021, 2022 sort of area. Up until then, they have to use the 12 to 48 and then our 48 to load factorized power solutions for the AI accelerators that they're going to use. So we're sort of...
Dr. Patrizio Vinciarelli: The AI accelerators have transitioned to 48-volt, the ones that really matter.
Phil Davies: Yes. So we're getting into those data centers sort of like a Trojan horse strategy, if you like.
Unidentified Analyst: So you're kind of getting your foot in the door with the AI stuff, but then it sounds like the data center customers are starting to realize that 48 volts can go across the whole data center and that would be beneficial to them. Is that what I'm hearing? Is that kind of the lay of the land?
Dr. Patrizio Vinciarelli: There's no turning back from 48-volt either in the data center space, in AI or, for that matter, in automotive. It's coming.
Phil Davies: We see the same thing happening in China as well. So the China -- Alibaba, Baidu, Tencent, they're all actively developing 48-volt racks based on the Scorpio standard, which is their equivalent of the Open Compute.
Operator: The next question is coming from the line of Gus Richard.
Gus Richard: Just quickly on the reschedules that you saw. Can you give a little bit more color as to what's driving that? I know one was a com satellite and the other was a hyperscaler. Is there an issue with their facilities or products? Any color there would be helpful.
Phil Davies: No. It was the bring-up of new products, new platforms, and they were over-inventoried quite a bit on the -- some of the older programs and platforms. And so they build those out and then they start working on the next-generation microprocessors and GPUs, and that was the reason for the pushout. The programs are there. They're healthy. They'll come on in Q2.
Gus Richard: Got it. And then on the supply bottlenecks, any additional color there? Is that issues getting magnetics or something else?
Dr. Patrizio Vinciarelli: So thus far, we've not been impacted on the supply side from coronavirus. We may be impacted if shops in China stay closed. Again, as suggested earlier, it was encouraging to see over the weekend that the mandate from the Chinese leadership is to get back to work. So we'll have to see how it plays out. Obviously, if coronavirus turns out to be -- they cease and the recent reversal in China were to turn yet around, that could have serious effects with respect to the supply chain. But thus far, we've been able to get, for the most part, the components we need from China. Obviously, the chain -- supply chain was effectively closed over the Chinese New Year. And in this year, because of coronavirus, what's usually a 1-week shutdown turned into a 3-week shutdown. And things are still not really running smoothly. But in anticipation of the usual shutdown, we obviously had buffer materials. So we're covered through the next several weeks, and we're taking a wait-and-see attitude and obviously taking steps where possible to make sure that our needs are taken care of.
Gus Richard: Got it. And then the last one from me. You're working with a number of ASIC vendors, GPU vendors, et cetera. And I'm just trying to understand is most of those customers -- is your products required when they move to 7-nanometer or 5-nanometer? Or is it independent of what process now they are currently running?
Phil Davies: It's really more to do with the level of current that they need. Certainly, as you go to 7-nanometer, the performance is going up. Therefore, the current is going up, the power is going up, and the same at 5-nanometer. The challenge as they move down those process nodes is that the -- sometimes the operating voltage that they're working at is dropping. And our factorized power solution with current multipliers is a fantastic way of going from 48 volts down to -- we've got customers as low as 0.35 volt. And so you can still do that with a factorized power solution, much easier than you can an IBA sort of multiphase solution. So it's across the board really, but it really depends on the amount of current.
Dr. Patrizio Vinciarelli: But there's a correlation between the voltage and the current because generally speaking, the technology trend of going down to 7-nanometer and 5-nanometer is a technology trend that leverages a reduction in voltage, an increase in current capability for -- comparable to a power dissipation to achieve greater processor performance. And to Phil's point, that's also strongly correlated to our solution in that with our solution -- and that's unique to our solution, lower voltages and our currents, the more the merrier with the so-called competitive alternatives. It's very difficult to average them to a fractional volt from bus voltage that is acceptably efficient at distributing power. There's a fundamental conflict between efficient power distribution and the ability to support very low voltages because the alternative technologies lack the current multiplication function that is a core of factorized power.
Operator: The next question is coming from the line of [Jon Dylan].
Unidentified Analyst: So Patrizio, I wonder if you can give us an update on the RFM.
Dr. Patrizio Vinciarelli: So we have a 2G RFM and we're getting very close to the 4G RFM. We got limited scope of the engagement intentionally so with the 2G, which is -- in effect, is counting product. It's not -- it's intended for really specialty application as opposed to high-volume mainstream applications, and that's what the 4G RFM is intended for. We actually recently saw a step-up in interest in at least one 2G RFM application. We're seeing other interest for 4G RFMs as with the front-end products for which we got a very substantial order late last year. I think the future of RFMs is very bright for us, very complementary to our point-of-load solutions. I would say with other internationally because customers need to power the systems typically from AC sources, and the 48-volt bus is the intermediate step which, with our technology, brings it all together. So the RFM, in effect, takes the power from the source and delivers it at the 48-volt level, which is safe. It's sufficient to distribute, and it's capable with our current multiplier technology to then be converted here actually to 7-nanometer nodes or 5-nanometer nodes with very high levels of efficiency. So the RFM products with upcoming 4G versions are going to be much high-performance and much more cost-effective than 2G, plays an important role into the overall strategy.I'll make one comment with respect to the strategy. We're the only company that has the breadth of capabilities to address general power system needs with a power component methodology that spans the gamut from 48-volt AC sources all the way to, as Phil was saying earlier, 0.35-volt subthreshold implementations of AI chips. And the RFM is a key element of the strategy. It's -- if you will, the jumbo jet that takes the power to an efficient hub, which is 48-volt, on the way to the point of load.
Unidentified Analyst: Yes. It's really -- it sounds really exciting. When do you expect we would see initial revenue for that? And then when do you expect we would see production revenue for the fourth-generation version?
Dr. Patrizio Vinciarelli: So we are actually engaging on -- for the RFM development. We have a controller chip that's due in about 6, 7 weeks, and we're going to start powering things up in 4G RFM land in the second quarter.
Unidentified Analyst: Excellent.
Dr. Patrizio Vinciarelli: Platform straight to go with the controller due to arrive in, again, 7 or 8 weeks.
Unidentified Analyst: And then production revenue, when do you expect that possibly?
Dr. Patrizio Vinciarelli: Well, I think that's probably still at least a year away but we're going to have design activity. We already have some design activity taking place as we speak.
Unidentified Analyst: Right. And the results today kind of begs the question. We've talked about diversification in previous conference calls. I'm just wondering when do you think we'll have sufficient diversification that we can kind of smooth out the quarterly bumps that we're seeing.
Dr. Patrizio Vinciarelli: Phil?
Phil Davies: Yes. I think this year is the year to do that. I think if you look at the customer list that we had going back a couple of years, it was one big data center guy, maybe a couple of small ones. But now if you look at our customer list for this year, it's expanded significantly. So I think 2020 is the year to do that. And then 2021, with all the new programs coming on with AI -- powering AI ASICs, the OAM cards, the 48 to 12, I'm very confident about the -- our position in the data center market and the growth that's going to come from that and, to your point, smoothing out the bumps that we've gone through the last year and the year before.
Dr. Patrizio Vinciarelli: Yes. At the moment, we're still 2 to 3 years away, but that's going to have a significant component.
Phil Davies: Yes. And I'm encouraged also. I mentioned the network -- cloud networking companies that have come to us and have asked us for solutions for 48 volts now and higher current networking processors. That's a new market that parallels very closely the AI and cloud computing space. It's the same challenge, the same problem. We've got exactly the right technology and products for it. And that market is very large.
Unidentified Analyst: So you're talking about network processors like the Cavium chip?
Phil Davies: No. I'm talking much higher bandwidth than that. I mean the stuff that is in the backhaul -- back plan -- backhaul of data centers that's really needed to move the data around.
Operator: We've got one more question from the line of Quinn Bolton.
Quinn Bolton: I just wanted to follow up on John's question about the broader adoption in data centers. It sounds like the next 12 months or so is going to be driven by the AI accelerators, the OAM modules or the NBM where it's 12 to 48 or 48 to 12. But when you talk about broader adoption of 48-volt, 48-volt racks, are you sort of implying that everything on a card or everything in the server would be 48-volt so that would be including the Intel and AMD CPUs and so you'd have opportunity for point of load for pretty much every component on the motherboard?
Phil Davies: Yes. In terms of the high-performance compute, right, the exascale-type computing, that's already 48 volts and we do power AMD processors and high-performance Intel processors on those cards directly from 48 with factorized power solutions. And then in terms of the general, if you like, cloud computing server market, that infrastructure is starting to move over to 48 volts at the big data center companies because they're moving to add AI capabilities to the cloud. The power and the racks are going up over 20 kilowatts to 40 kilowatts. You could not use 12-volt power delivery networks in the rack for that. So that's going to take a year or 2 to happen, but that infrastructure change is happening and is being supported by OPC with the rack usage.
Quinn Bolton: Got it. Yes. And then last quick one for Jamie. The OpEx ticked up in the fourth quarter. You said some of that was project-specific development charges. How should we be thinking about OpEx in Q1 and beyond -- I mean for the rest of the year in 2020?
James Simms: Well, the head count expansion was essentially a replacement and truing up of -- over the year. So as you saw, the percentage increase was very small. So I don't think there's real reason to assume that there's going to be a sustained ramp. The project materials, the prototyping expense was somewhat one-off in -- it's not to say that we won't be spending a lot on prototyping but it surged a lot just from timing.
Quinn Bolton: So maybe flattish in Q1 from Q4?
James Simms: Yes. Not materially more. I mean again, I emphasize the personnel nature of our OpEx. It's head count.
Dr. Patrizio Vinciarelli: And with that, thank you very much. We'll be talking to you in a few months. Have a good day.
Operator: Thank you, everyone. That concludes your conference call for today. You may now disconnect. Thank you for joining, and enjoy the rest of your day.